Operator: Good afternoon. This is the Chorus Call conference operator. Welcome, and thank you for joining the DiaSorin H1 2025 Results Conference Call. [Operator Instructions]. At this time, I would like to turn the conference over to Mr. Carlo Rosa, CEO of DiaSorin. Please go ahead, sir.
Carlo Rosa: Thank you, operator. Ladies and gentlemen, good afternoon, and welcome to the H1 first half results conference call. As usual, I'm going to give some general comments on the business, and then Mr. Pedron, our CFO, is going to take you through the numbers. Quarter 1 was a solid quarter for DiaSorin in terms of top line growth and EBITDA margin. Quarter 2 revenues ex-COVID growth 7% in line with expectation, making H1 '25 at plus 8%. Quarter 2, EBITDA margin, 36%. H1 EBITDA, 35%. So in line what we expect to achieve by year-end and Mr.  Pedron will then comment on the fact that typically on our EBITDA. We have a seasonality and a difference between H1 and H2. But overall, we confirm guidance of 2025. As usual, I'm going to comment then the business by all the different business lines. I'm starting from immunodiagnostic. Immunodiagnostic grew 8% in quarter 2 and in half 1, in line with expectations and confirming the strong positive trends for our CLIA business in all the geographies, except for China. I'm going to make a comment about China. If you consider the immunodiagnostic growth ex the China effect, it would have been 10%, both in quarter 2 and in H1. So franchise, as we have seen in the past, continue to deliver growth according to the different program that we discussed many times. If we now go by geography in immunodiagnostics, North America which is one of the most relevant geographies for DiaSorin for immuno grew 14% in the quarter, and the growth is driven by the continued success of our U.S. hospital strategy we have a target of reaching -- adding 100 new hospitals by the end of the year, and we are tracking perfectly compared to the target. And clearly, as we have discussed many times, this is due to our unique menu specialties that makes LIAISON XL, our platform are very suitable for this market. When it comes to Europe, good performance, plus 6% in quarter 2, driven by -- obviously driven by the success of the LIAISON platform. As we discussed many times in this geography, we are very much penetrated, so we are -- our result is -- relies on the fact that we keep adding products to our existing installed base of LIAISON platforms. So Europe overall continues to deliver high -- mid- to high single digits, which is what we expect this geography to do. When it comes to the rest of the world, with positive performance in the quarter despite political tensions in some countries, and the good result has been driven by strong growth in direct markets, mainly Brazil, Mexico and Australia. And in those geographies where we sell through local distributors. Last but not least, I would like to discuss China. China, as we have discussed now since almost 2 years is becoming a very difficult market to operate. We experienced in the quarter a double-digit decrease due to the already announced and expected impact on VBP. The market, as said, is difficult. I think that a few other companies already reported and did comment on what's going on in China. So I don't think we need to spend more time. For DiaSorin, China represents less than 5% of the revenue. So even if we are struggling in this market, it does not impact the overall company performance. If we look by technology, by product QuantiFERON TB together with our stool panel continues to drive the growth of the business, both in Europe and in the U.S. And we are launching this product also in secondary geographies. So we expect that when we get to saturation of the primary market, secondary market, it will help us out to continue to grow these franchises. But what I think is fairly remarkable is that also established product lines, like hepatitis, retrovirus or even Vitamin D are experiencing growth again. And especially Vitamin D is very interesting. We've been losing Vitamin D for many years. Now we reached a position where we are selling this product in the hospital market where together with the rest of the menu, we can bundle it, we can secure it and we clearly enjoy the testing volume increase for this parameter, which is actually happening across the globe. MeMed, we continue to see positive signs of acceleration in North America. And we have reached 40 active customers by the end of H1. I remind everybody that we have a target of 75 new customers by year-end. So we are well in the position to deliver this target by year-end, which I think is worth noting is that we recently signed a very relevant contract in the U.S. is a $1 million business that -- so it is the first time that we were able to sign for this assay, a clinical group that decided to use now this MeMed BV assay across site and its being part of the medical practice. So I'm very positive about the future of it. Now let's move to molecular diagnostic, with molecular diagnostics, I would like to point out that we need to exclude -- in order to fairly compare '25 with '24, we need to exclude the various contribution, the ARIES contribution which was EUR 5.5 million in 2024. ARIES, I remind everybody is Luminex legacy platform that we decided to discontinue last year. So we had sales through H1, but we don't -- we didn't have anything this year. So if we look at the molecular diagnostic ex-COVID performance in Q1, excluding ARIES growth was 8%. Sorry, I said in Q1, but here I was talking about Q2. So in Q2 2025 growth, excluding ARIES is 8%. If you look at the VERIGENE and LIAISON PLEX, platforms together, what we call our multiplex syndromic business. The franchise in quarter 2 grew 11% and 18% in H1 2025. Clearly, after the strong start in quarter 1, where we had a 25% growth, there is an expected slower pace in the second quarter because the LIAISON PLEX, the panel we launched is a respiratory season that clearly in Q2 and Q3 is not very strong demand, and then it's related to the respiratory season, so we expect an acceleration of growth coming from end of Q3 into Q4 and this always happens every year. When it comes to the LIAISON PLEX, we now have completed our blood panel. So now we have a full blood panel approved in the U.S., which is allowing us to start quoting in this market that for us is very relevant because the legacy VERIGENE I platform was still holding a good market share in this particular segment. So for us it's defensive -- is a defensive panel plus it is allowing us the ability to clearly increase pricing in this segment moving from one technology to the other plus is giving credibility to the LIAISON PLEX platform. Now we have four different panels that can be used. And speaking about the ability of the company to deliver on the availability on additional menu on this platform. Clearly, the next one to come that will complete our offering -- Phase I offering is gastrointestinal panel that we will submit by the end of 2025. So in Q4, we expect to submit the product in line with expectations and get it approved beginning of next year. Now if we move then to the molecular diagnostic, the other segment, which we call targeted MDX, this is the DiaSorin MDX platform. The business grew 10% in quarter 2 and 12% in H1 '25. The nonrespiratory panel, they're growing 40%. They represent half of the business, more or less, they grew 40%, thanks to, again, the specialty positioning we've been discussing several times, one of the most successful assays we have the Candida Auris, where we are the only one in the market and is -- this getting some traction in the U.S. market. Respiratory panels in the second quarter decreased due to a softer tail of the flu season versus previous year. And also, let's remind ourselves that in this case, we are comparing to our Bordetella outbreak last year, which did not repeat this year and is affecting comparison between respiratory Q2 versus respiratory Q2 last year. We are submitting as a defensive posture in this platform, the new 4-plex panel for Flu A, Flu B, COVID, RSV to get to par with competition. We expect it -- expect to have its approval next year. So for the next flu season in '26, we're also in the MDX platform, and we are going to have a complete offer. When it comes to the LIAISON NES, which is our CLIA waiver platform. We have filed the ABCR panel apply -- and apply for CLIA waiver in July 2025, in line with the expectation of the Investor Day -- 2023 Investor Day, and we expect the launch of the system in H1 next year. So to be able to participate 2026 flu season, next panel to come currently under development, initiating clinical studies Group A strep that, again, we believe, is going to be available next year. So we are also building momentum on the LIAISON NES. Last but not least is the LPG, the LIAISON technology. We had a very good H1. We grew 10% in H1 versus previous year, 7% in quarter 2. I need to draw your attention to the results because if you look at the licensed technology, half of the business is diagnostic, half of the business is life science. The diagnostic portion is doing well because we are supplying clearly companies that do grow mid- to high single digits in this space. When it comes to the life science, clearly, we are suffering the results of what all the -- all our business partners are reporting. So softening of the instrument revenues. Part of the revenues we have is related to instrument that we make and we sell to the business partners that then sell it to the research community. Although, what is very interesting and is working for us so far is that reagent revenues in life science are still -- has been growing. Clearly not as the past, but as if there has been a repositioning of the limited funds these days of researches more on reagent than CapEx, which makes sense. So in the H1, very good results. We expect some softening clearly in H2, but we really need to understand how this volatile market will be performing in 2025 going into 2026. Other initiatives that I would like to comment are two. One is the closure of the -- our German manufacturing site. As outlined during our last Investor Day in '23, we remain committed to driving operational efficiency across the group, and this is because we foresee that environment -- pricing environment in this space is not deemed to improve. It can only improve if a company can be innovative and launching specialty products like we continue to do, but for the products on the market, there is always historically in this space, there has been price pressure that will continue. Therefore, we continue to do whatever we can to improve our profitability in the manufacturing side. And in this very specific case, we are concentrating fundamentally our manufacturing capacity in two sites, one in Italy, one in the U.S., one to serve globally our immunoassay franchise and one that is serving primarily the U.S. market, and this is why we're not so exposed to tariffs these days. We've invested in capacity and automation in this site. And so after the last review, it did not make sense to continue to manufacture in Germany. We are in current negotiations and we are going to treat fairly our employees that have been working with the company for many years, delivering great results. I expect that by next year closure will happen and products will be transferred to Italy. The last remark I would like to make is to do with that we have a collaboration that I think is very interesting with Gilead that was announced last year about the hepatitis delta virus. Gilead is trying to get their new drug approved in the U.S. And together with Gilead, we are bringing an assay that would be used in the U.S. to screen for those patients that are candidates for the drug. We have submitted to the FDA. We responded to the last set of questions. And so we expect that this assay will be approved in the next quarters or so. And that we clearly will help and support our differentiation in the U.S. market continuing to drive our hepatitis franchise growth. Now I'm done with my comments. I'm going to pass the microphone to Mr. Pedron, and then we'll take your questions. PG?
Piergiorgio Pedron: Thank you, Carlo. Good morning, good afternoon, everyone. Thank you for joining DiaSorin H1 2025 earnings call and for your continued interest in our company. Over the next few minutes, I will walk you through the DiaSorin financial performance for the first half of the year. And then like always following my remarks, we'll open the line for the Q&A session. So 2025 year-to-date revenues reached EUR 619 million, up 5% or EUR 30 million compared to the same period last year. This growth was achieved despite the expected decline in COVID sales, which were down EUR 7 million and the EUR 7 million FX headwind, primarily due to the depreciation of the U.S. dollar against the euro as we anticipated during our previous earnings calls. On that note, let me please remind you that on a full year basis -- full year basis, every $0.01 movement in the USD-euro exchange rate is typically impact the DiaSorin revenues by approximately EUR 6 million to EUR 8 million and adjusted EBITDA by EUR 2 million to EUR 3 million again. Given that the average USD-euro exchange rate in H2 last year was at $1.08. I believe it's fair to expect an additional FX headwind in the second half of 2025. Excluding COVID at a constant exchange rate, we saw our core business grew by 8% in the first 6 months of 2025, as said, in line with full year guidance. Carlo already covered all the performance by geography and the technologies, so I'm not going to comment more. In the second quarter, revenues, excluding COVID, at constant exchange rate grew by 7% or more or less EUR 19 million, as we said and as we heard in spite of the discontinuation of the ARIES platform in 2024. As mentioned earlier, we faced a significant foreign exchange headwind in the quarter amounting to roughly EUR 11 million. These, combined with the expected decline in COVID-related revenues, resulted in a shyer reported revenues, growth of 2% at current exchange rate. Gross profit for the first half of 2025 reached EUR 406 million representing 60% of total revenues. This marks an improvement of EUR 60 million or 4% compared to the same period last year. In Q2, specifically, the gross margin remained stable at 66% of revenues in line with Q2 2024 and consistent with the level we have seen over the past few quarters in spite of the fact that we started to saw some impact from the tariffs of moving goods, importing goods into the U.S. Adjusted operating expenses for the first half of 2025 totaled EUR 232 million representing a 1% increase year-over-year or 2% at constant exchange rates. As a percentage of revenues, operating expenses declined to 37% down from 39% in H1 2024. This improvement in operating leverage is a key driver of our margin expansion, as we have consistently emphasized in prior earnings calls and during our Capital Market Day. Adjusted other operating expenses for the first half of 2025 were negative EUR 6 million, EUR 1 million better than the same period in 2024. I'd also like to address the reported other operating expenses which in the quarter have been affected by the initiation of a divestiture and the commissioning plan for our immunodiagnostic manufacturing site in Germany as we've just heard which we expect to complete by the end of 2026. This initiative, as we said, is aligned with the ongoing strategy to optimize	 our global manufacturing footprint. Similar to the actions we've taken in the past, such as the divestitures of our Irish and South African facilities. This reflects our continued efforts to adapt to the evolving macroeconomic conditions and enhance our long-term competitiveness. The one-off charge recorded in Q2 of about EUR 8 million reflects the first part of this program, and we expect additional EUR 6 million to EUR 8 million to be booked by the end of 2026 to eventually cover the full scope of this initiative, including, among others, despite the commissioning costs for project-related expenses, fixed asset write-offs and so on and so forth. We anticipate a positive EBITDA impact of approximately EUR 6 million to EUR 8 million annualized once the plan is fully implemented. We said that this is one of the levers supporting our path towards improved profitability targeting the EBITDA margin outlined during the last Capital Market Day. As a result of these dynamics, adjusted EBITDA for the first half of 2025 reached EUR 167 million, representing 27% of revenue. This reflects an increase of EUR 40 million or 9% compared to the same period last year. Adjusted interest expenses for the first half of the year were just under EUR 1 million compared to an income of EUR 2 million in the same period of 2024. This shift was driven by a lower yield on our cash investments, reflecting the decline in interest rates. The adjusted tax rate increased from 23% to 25%, mainly due to the termination of the Patent Box regime for our Italian legal entity. As previously discussed during our last Capital Market Day, this measure was not renewed by the Italian tax authorities. And the resulting impact on our effective tax rate was therefore anticipated. On a separate note, we do not expect any material impact on our tax rate from the recently approved so-called One Big Beautiful tax bill in the United States. Year-to-date adjustment net income totaled EUR 125 million, representing 25% -- 20% of revenues. This marks an increase of EUR 5 million or 4% compared to 2024. Lastly, H1 adjusted EBITDA reached EUR 240 million, exceeding prior year by EUR 16 million or 8% at current exchange rate and by 10% at constant exchange rate. The EBITDA margin of 35%, both at current and constant exchange rate is better than the 34% we recorded in 2024. At constant FX, Q2 EBITDA margin is almost 36%, benefiting from the favorable calendarization of LPG sales, typically associated with higher margins and from disciplined cost management. As we observed last year, we anticipate higher operating expenses in the second half of the year, driven by our summer salary review and by the timing of certain discretionary costs. The improvement in our margin is in line with the guidance and the path to increase profitability we've discussed many times in the past. Let me now turn to our net financial position. We closed Q2 2025 with a net debt of EUR 683 million, an increase of EUR 66 million compared to 2024 year-end. This variance is mainly the result of two key factors. On one hand, we generated a solid free cash flow of almost EUR 85 million in H1. On the other hand, this was more than offset by EUR 97 million debt related to payments owed to shareholders who exercised their withdrawal rights  following the recent adoption of enhanced voting rights mechanism and then we have to account for EUR 63 million dividend paid in May to our shareholders. Before we move on, let me briefly update you on the ongoing Italian payback situation. It looks like we almost get to the final episode. The government mandated reimbursement mechanism tied to regional overspending on medical devices covered by the Italian Health -- National Health Service. Just a few days ago, as part of the decree enacted at the end of June, the Italian government introduced a settlement framework for outstanding payback obligations related to the years from 2025 through -- from 2015, I'm sorry, to 2018. Under this new provision, companies can resolve ongoing legal disputes by paying 25% of the original requested amount, a significant reduction from the 48% we discussed in previous calls. Once the payment is made, and no further legal or administrative actions can be pursued by the authorities. As you may recall, we have built a provision on our balance sheet over the past few years to cover these risks. As a result, this legal development will have no impact on our P&L. However, we do expect a cash outflow of more or less than EUR 5 million. Given the fact that this expense will be deductible from a tax perspective, the net cash impact will be slightly above EUR 3 million. Worth noting the decree does not address payback obligations for the year beyond 2018 but we believe our current provisions remains adequate to cover any future exposure. Let me now conclude my remarks by sharing our outlook for full year 2025, which remains consistent with the guidance we confirmed during our Q1 earnings call. As always, figures are at constant exchange rate, assuming a USD-euro exchange rate of $1.08. For 2024 as a reference, we expect revenues, excluding COVID to grow by approximately 8%. And we also confirm our guidance for an adjusted EBITDA margin of around 34%. Please note that our guidance already incorporates the anticipated impact of recently reduced tariffs across the geographies in which we do operate, but mainly the U.S., while we are exporting mainly to the U.S. While we acknowledge that the broader macroeconomic environment remains fluid and while we wait for further clarity following the recently announced trade agreement between the European Union and the U.S. administration, based on the information currently available and considering the mitigation actions already implemented or underway, we do not expect a material impact on our profitability in 2025. We will continue to closely monitor developments in this evolving situation, and we'll keep you informed as new information becomes available. With that, I'll now turn the line to the operator to begin the Q&A session. Thank you.
Operator: [Operator Instructions]. The first question is from Aisyah Noor with Morgan Stanley.
Aisyah Noor: My first one is on China. So your competitor was talking about a DRG or debundling dynamic that's happening and impacting panel-based testing in immunoassays. Have you heard about this? And are your products within the scope of this debundling plan? And then my second question is for Piergiorgio on the margins. Could you explain a bit why the gross margin was down 30 bps, flat year-on-year, I guess, but the EBITDA margin is up 100 bps to 35%. Could this reflect a higher mix of partnership revenues in immuno or any other mix dynamics we should be aware about?
Carlo Rosa: Yes, I'll take the question about China. Yes, I know what DRG is, I think that -- and we heard about it. I believe that this confirms what China is trying to address, which is fundamentally cutting costs, right. So DRG together with VBP are two ways to do it. And interestingly enough, this has nothing to do with foreign companies per se. This is actually addressing the market and is, at the same time, hitting the Chinese local players and the international company. So to me, it's nothing new under the sun. Truth of the matter is that China will become a less profitable market for everybody because of driving less consumption and through this DRG systems and pushing down the price through the VBP. That doesn't mean that China is not an interesting market. Simply by sheer size, is that I believe the strategy for China is not to rely on existing measles products, but to focus the strategy of the company into very, very specific specialty products that would help differentiate and the clinical value of which is clearly leaving this product outside the scope of VBP and on the same token, outside the pressure of the DRG. As far as DiaSorin is concerned, we discussed about this a few times, we are going through registration of the TB products. There is a great TB market in China. And we expect this product to be available starting from next year, and then all the gastroenteric line that is now registered for us and where there is no, I think, competition is also what is going to be DiaSorin focus today. Then when it comes for the margin question, PG please.
Piergiorgio Pedron: Aisyah, thanks for the questions. So the margins in the first half of the year grew more or less at the same pace as the top line in spite of the impact of tariffs, just short of EUR 1.5 million. And despite the fact that talking about China, our manufacturing plant in China is now fully operative which means that our cost of goods sold, we are expensing the cost of the manufacturing site itself, whereas during 2024 the site was not operative yet, so we could capitalize some of those cost. By the way, let me share with you all that we got the registration for the first two products from the Chinese FDA, which is [indiscernible] and from the manufacturing [indiscernible] in China. So considering this impact, I believe, overall, the gross margin number is a -- it's a number where we are happy with that, it's in line with our budget. And why in spite of having a similar margin, our EBITDA is richer? In terms of marginality, it all comes from -- mostly comes from operating leverage. As you might see from our P&L the ratio of operating expenses over revenues moved from 39% on 2024 to 37% on 2025. So the EBITDA margin expansion is mainly coming from operating leverage. This is the short answer.
Aisyah Noor: And then just to quickly follow-up on that response Piergiorgio. How are you thinking about the margin development for the second half given you are now a bit ahead of your full year target of 34%?
Piergiorgio Pedron: So I believe in the second half, the gross margin will not change materially from the 66%, if anything, will decrease a little bit because we are expecting more molecular sales and less LPG sales. Carlo explained why it's fair to expect that in H2 LPG sales should not grow at the same pace we saw in H1. And as part of LPG sales, we have consumables, we have royalties, which are richer margins than molecular sales. So because of the product mix, we expect -- I expect H2 to be a little bit, let me say, lower in terms of gross margin. At the same time, as we've seen last year, I'm expecting an increase in OpEx. And it was usually -- not usually always in our company we have a salary review cycle across the whole corporation in July which means we should expect a higher cost of labor in H2, which is going to increase OpEx in absolute value H2 to H1. Please consider that, give or take 60%, 65% of our OpEx are labor cost. And so that's why it's pretty intuitive to understand why overall OpEx are going to increase So since we closed H1 at 35% and expecting overall an EBITDA -- and allow me some flexibility, an EBITDA margin in H2 around 33-ish percent, which should allow us to close the year around 34% at constant exchange rate, which is our guidance for the full year.
Operator: The next question is from Hugo Solvet with BNP Paribas.
Hugo Solvet: I have three, please. First two on Memed. Can you hear me okay?
Piergiorgio Pedron: Yes, we can Hugo.
Hugo Solvet: Okay. First on Memed. First, the $1 million dollar contract you mentioned. Does this represent some commitments and how long will it last? Second on MeMed, they announced last week a fingerstick blood test, curious if this technological development following the scope of the nonexclusive partnerships that you have with them? And lastly, Piergiorgio, sorry, if I missed that, but on the discontinuation of the Siemens' ELISA business, can you share both the revenue loss that will be associated with that discontinuation and also phasing for the EUR 15 million one-off costs?
Carlo Rosa: Okay. MeMed, $1 million, I pointed it out because is a contract that is covering health care system, where you have the core facility, you have the clinics. And so it shows then when a health care system is looking at implementing this new tool is a significant business, okay? And so far, we had wins in individual hospitals. And now -- but now this is the first time that we are really getting a full system to buy the hub and spoke. The hub and spoke positioning of this product, right? And this is why I'm saying with this kind of accounts, and there are, as you know, hundreds of health systems in the U.S., we really expect that now the size of the business that we're going to be gaining is more significant than in the past. On the fingerstick, I don't know what they announced, but it's not honestly a contractual relationship with us and MeMed is confidential. So I don't want to comment on that. On the ARIES, it's not ELISA, it's the ARIES is all molecular platform of Luminex. The contribution in H1 was EUR 5.5 million that were sold last year, while we were closing the plant, all the manufacturing equipment clearly by year-end that was finished, and now we 0 starting from 2025. And the last comment was?
Piergiorgio Pedron: I believe it was on the discontinuation of our manufacturing site in Germany. I believe Hugo, there's been some confusion. It's nothing to do with Siemens' ELISA. If that's what you refer to, right? I believe you said Siemens' ELISA, correct?
Hugo Solvet: Yes, I did with my bad...
Piergiorgio Pedron: No, no, no issues. Let me just explain. So we did buy back in the past, it was 2017. And ELISA business from Siemens, but we never manufactured it, so nothing to do with that. Our -- so I understand the confusion can come from the fact that we announced that we divest -- we are acting divestiture from our manufacturing site in Germany and that is in immuno CLIA manufacturing site, but we are moving production to Italy, as Carlo said, and we are not expecting any loss of revenues. It's CLIA product. We will be keep on serving customers during the transition phase, no revenue impact. And the phasing, I believe you asked me of the phasing of the one-off cost. I said EUR 8 million now and expecting in Q2, potentially a couple of more million in the second part of the year EUR 2 million, EUR 3 million. And then the remainder EUR 2 million to EUR 4 million are going to be booked in 2026. We expect to be done with this program by the end of 2026.
Operator: The next question is from Jan Koch with Deutsche Bank.
Jan Koch: I also have three. The first one is on your molecular business. I was positively surprised that you grew by 11% in the automated multiplex  business. Could you speak a bit about the drivers behind this growth? Was that driven by your blood panels? Or did your customers already built some stock for the upcoming flu season? And then secondly, on licensed technologies. You mentioned that you expect a softening in H2 and that we shouldn't expect the same growth rate as in H1. But are you projecting a decline in revenue in H2, considering that you're trading meaningfully above your full year outlook in that business? And then lastly, on pricing in relation to tariffs, and you seem to be better positioned than some other diagnostic companies when it comes to tariffs. Does this allow you to realize positive pricing effects that could support your margins down the road?
Carlo Rosa: I will take the -- let me start from the last. When it comes to tariffs and how to react to tariff. Honestly, we don't know yet. Because we don't want to take a position, which is unique to DiaSorin customers. These days in the U.S. are very sensitive to tariffs. The administration is very sensitive to tariffs. So for DiaSorin, as I said, fortunately, the impact is relatively small. So if the whole industry decides that we want to pursue a price increase to cover tariffs, we are going to follow through. If the industry decides that this is not the case, then we are not going to do it. But again, I'm not so concerned. As you said, first, if we want to do it, we can do it because we're specialists. And second, I'm not so concerned because the entity of -- the amount of what we have. LPG, yes, certainly, if you do the math, you would expect a decline to happen in the following quarters. But as said, I think that we need to really wait and see how the situation is moving. What happens to the mix? And -- but certainly, mathematically, if we want to -- at a year-end, we project a 2% to 3% growth, then we are going to have an H2, which should be lower than H1. On the molecular 11%, no, there is no -- it's not a stock issue. It has to do with the fact that we continue to close accounts, set up systems, and we are actually getting ready for the coming flu season. Typically customers stock up in quarter 3 for the season not in quarter 2.
Operator: The next question is from Dylan Van Haaften with Stifel.
Dylan van Haaften: So just one follow-up, just on Dietzenbach. If I look at -- could you maybe just highlight what basically the gross margin differences are between the two facilities? And then I have a follow-up question just on the measles ASR that you guys announced. I know it's early days, but is this one of the ways that you guys are positioning towards, let's say, let's call it, like a pro infection policy having in the U.S.? And do you see similar opportunities to capitalize on? And should we be thinking of this in broader terms?
Carlo Rosa: Let me start from the measles question. We typically use -- we have a very large book of business of ASR, and we always use the ASR as a way to probe the market. In this case, it would be difficult to comment on pro infection in the U.S. Certainly, today, there is -- there are, in certain states raising number of -- I mean we all read newspapers, labs are set up -- are using ASR and to set up their own LDT because there are no assays currently approved. Today, we have seen that a certain number of accounts are setting this assay up in terms of -- what is going to happen, we really don't know to be -- especially with measles to be honest with you, I hope that we're not going to be selling this product because otherwise the problem would be will be a very severe one. When it comes to Dietzenbach, look, I don't think that you should be looking at this in terms of percentages. We should be really looking at this like -- we continued in -- throughout our history, we've always been even with very healthy margin because you need to admit that 35%, 36% EBITDA is a great EBITDA in the industry, we continue to push for operational excellence. And in this very specific case, we do have capacity in our -- we built the capacity for future expansion in our Italian site, fully automated. Germany is already partially servicing our Italian sites. So we came to the conclusion that -- it would not make sense to make investments, more investment in Germany, but to consolidate everything in a site that was able to get all the volume at a very competitive cost. And that's the decision. Again, this is not one of the situations like ARIES where we kill a technology. We are transferring existing products, CLIA products from one site to the other one, and we clearly continue to provide these products to other customers. And this is why we don't plan to see any effect on revenues is a margin improvement.
Operator: The next question is from Natalia Webster with RBC Capital Markets.
Natalia Webster: I have three, PLEX. The first one is on tax. I appreciate Q2, Q3 is generally lower in terms of demand. But are you able to provide some more color around the demand you're seeing for the PLEX and the PLEX concept in general. How you're progressing towards the 150 active customers by year-end and the EUR 15 million of incremental revenue? And if you're seeing an increase in interest from customers now that you have the three blood culture panels or are there some customers in the pipeline that are still holding off until you have the GI panel too? My second question is on China. If you could just confirm if the double-digit declines you saw in Q2 are in line with your expectations for the around EUR 4 million to EUR 5 million VBP headwind you previously guided to on an annualized basis? And my third question is if you're able to give us any updates on LymeDetect and any feedback you've had from the FDA there?
Carlo Rosa: Again, I'll start from the last, LymeDetect, we are in discussion with the agency when it comes to the clinical requirements on this product, which is very innovative product. So I don't have any update at this moment on LymeDetect. When it comes to China, in fact, yes, EUR 4 million to EUR 5 million is what we have disclosed and this is what we expect. When it comes to the first question, which has to do with PLEX [ color ]. Yes, we continue on our development on our sales process of placing systems in the U.S. as a combination of some large commercial labs and hospital market. And we are in line with our expectations in terms of number of accounts that we want to sign by year-end. I believe that the good news is that we signed up recently a very large commercial labs that is going to be using our platform and deployment of systems will start in quarter 3 to be all active in quarter 4. So that's good news about this platform. When it comes to flex, I think that we continue to educate the market on the concept that full panel is clinically not necessary and the PLEX concept today is adopted into different ways. One is the traditional way that we have explained with the so-called one basic panel of 7-plus credit and the other one is the adoption of different mini panels that the different customers, depending on their own population decide to apply. So what we are discovering that providing full versatility to the system to customers because, again, we never ever recommend a panel. We sell one basic panel of seven and then they build on it. We see that customers are really using for respiratory this technology in different ways and what we are also thinking from what we learned so far is that -- and again, I go to the GI. GI is a very interesting funnel because there the amount of mini panel that you can imagine is very much more than a respiratory because, as we discussed, I think in the past, is not only a seasonal, you have to do -- you have a traveler panel, you have an elderly panel. I mean you have a different mini-panel that you can set up to serve the different population that typically a health care system is serving. So it's certainly -- I believe one of the analyst wrote a piece saying that, they are talking to customers and customers are saying that PLEX is very interesting, but it requires some thoughts in understanding how to apply, and that's certainly the case. But this is the competitive advantage, otherwise, we would have the fourth box on the market with same as pretty much all the incumbents are already offering. So that doesn't honestly surprised me actually is what I expect to see. They use our technology differently than others. They see it as different, and therefore, they buy from DiaSorin rather than from some of the incumbents.
Operator: The next question is from Kavya Deshpande with UBS.
Kavya Deshpande: Just wanted to ask about North America immuno. So you've been accelerating there against some tough comps for 2 quarters now. Is this a reflection of a step-up in new customer wins? Or is this existing customers consuming more of the menu? And then just to follow on from that, should we expect North America immuno to continue accelerating in H2, especially if I think that the comps get slightly tougher as well.
Carlo Rosa: Kavya, listen, first, you always continue to catch me off guard when you ask me about quarter-to-quarter because it's impossible to predict. I understand everybody has to look at the business in quarters, but trends in quarters can be all over. I think that you need to look at the consistency  of growth. And DiaSorin been -- this franchise has been consistently growing year-on-year over the past 5 years. And that, again, has to do with a combination of two things in my opinion, the hospital strategy that is working very well. So we are expanding our installed base. Then on the -- now that we have an installed base in hospitals, now we are increasing the loads, what we call the load on these customers. So we try to sell more products, while we are building a new customer base. And by the same token, we have a great, great relationship with the two major labs in the U.S. that continue every year to take more products from DiaSorin so on the commercial lab side. Therefore, the growth you see consistently is that this is working very well for the company. And again, I think during the call, I said that we have a target for 100 hospitals in 2025, and we are over 50 already in H1. So I have no problem to say that, again, for the fifth year in a row, we are going to make our projection. How are we going to? Quarter 3, I honestly don't know. To me, I'm not -- even I don't understand that, you guys need to look at certain the way the business delivered on a quarter, but I will not read in this business, a good quarter or a bad quarter as a specific indicator that something is if really happening. Look at the consistency. And in this case, our U.S. business has been very consistent in immuno. And I don't see any reason why it should not continue right, with this consistency.
Operator: Mr. Rosa, Mr. Pedron, there are no more questions registered at this time.
Carlo Rosa: Thank you, operator. Thank you all.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones.